Operator: Good morning. I would like to welcome you to our Q3 2024 Earnings Conference Call. Joining us today are Omer Keilaf, Chief Executive Officer; and Eldar Cegla, Chief Financial Officer. Following their opening remarks, we will open the call to your questions. I would like to remind everyone that this call is being recorded and will be available on the Investor Relations section of our Web site at ir.innoviz.tech. Before we begin, I would like to remind you that our discussion today will include forward-looking statements that are subject to risks and uncertainties relating to future events and the future financial performance of Innoviz. Actual results could differ materially from those anticipated in the forward-looking statements. Forward-looking statements made today speak only to our expectations as of today, and we undertake no obligation to publicly update or revise them. For a discussion of some important risk factors that could cause actual results to differ materially from any forward-looking statements, please see the Risk Factors section of our Form 20-F filed with the SEC on March 12, 2024. Omer, please go ahead.
Omer Keilaf: Thank you, Maya, and good morning, everyone. Thank you for joining us. The third quarter represents another strong quarter for Innoviz, both in terms of revenue and cash performance. During the last quarter, we announced a new partnership with a leading Level 4 platform partner. Today, I'm happy to share that, following this agreement, we entered two new OEM programs, with expected SOP in 2026. I will share more detail on this momentarily. Revenues for the quarter were $4.5 million, above the midpoint of our guidance range of $3.5 million to $5 million. We further decreased our cash used in operations and capital expenditures, from $28.6 million in Q3 2023, by approximately 38% to $17.7 million this quarter. Both Eldar and I will provide color on this later. On today's call, I'll begin the discussion by providing more details on our announcement of the two new OEMs. Then, we will discuss our progress regarding the different Volkswagen programs. I'll then give an overview of our pipeline and highlight several of the programs we are competing for. These are exciting programs with notable OEMs. And on some, we're expecting nomination decisions in the near-term. I'll provide some high-level detail on these and explain why we are confident in our positioning. We will also share with you exciting breakthroughs on the technological front. These developments allow us to significantly improve our products' performance in both range and resolution. And also provide new and unique LiDAR capabilities which are valuable to our clients. I'll conclude the technical discussion with an update on our new short-range offering. Finally, I'll discuss our expectations for the rest of the year in addition to reviewing our Q3 financials. Starting with our announcement on the two new OEM programs, during the third quarter, following our engagement with a major Level 4 platform partner, we entered two new OEM programs which have adopted the platform to allow seamless integration of our LiDARs into their vehicles. As part of this process, we are working with the platform partner and their OEMs on the mechanical, electrical, and other integration aspects. Innoviz is expected to provide a bundle of nine InnovizTwo short and long-range LiDARs per vehicle. This is a testament to the business advantage of offering a bundle of short-range and long-range LiDARs to our customers, which allows us to secure more meaningful revenues. We expect to see fleets from both OEMs begin road testing in 2025, with start of production expected in 2026. These two OEMs are part of a group of additional OEMs that have already selected the platform. Therefore, we expect additional OEMs' programs in the future. Importantly, this partnership has the potential to offer significant revenue growth and favorable volumes for Innoviz. Just recently, we've heard of progress around new and exciting customers who may potentially adopt the platform. We're excited to be part of this platform and for the opportunities it could create for Innoviz. We are aware of the market's curiosity related to the names of the platform partner and the OEMs. And we agreed with our partner to share more details before the end of this year. Moving on to an update on our partnership with Volkswagen, as a reminder, we secured the series production awards for different VW brands. We are working on two Level 3 platforms. One with Qualcomm and Cariad, and the other combines Mobileye Chauffer and reveal software. We also continue to work on the ID. Buzz light commercial vehicle program, a Level 4 program with multiple LiDARs per vehicle planned to launch in 2026. This program incorporates Mobileye Drive. I'm happy to share the development process is moving forward nicely across these programs. We continue to move through various audits and development gates successfully, both for the production line and other development aspects. We are on track to meet the planned LiDAR start of production timelines. Just recently, MOIA, a Volkswagen Group technology company that develops on-demand ride pooling services for urban areas, made an important announcement regarding the ID. Buzz. MOIA announced that, starting in mid-2025, it will deploy the ID. Buzz in Hamburg, Germany, as part of the project, ALIKE, a project to test autonomous on-demand ride pooling in the city. This is in addition to its previous announcements regarding deployment also in Austin, Texas, and in Hanover, Germany. We are happy to see this platform expanding, and eager to learn about additional locations around the world which will follow. MOIA is offering its Mobility-as-a-service licensing model to cities all over the world. And its goal is to develop an autonomous ride pooling system that can be scaled internationally. We are proud to be part of the ID. Buzz program which is supporting the evolution of mobility. Now, I'll discuss our pipeline of RFIs and RFQs, and provide additional detail on several specific RFQs in which we are making progress. Overall, we currently have over 15 programs in the pipeline, with approximately 50% in the RFQ stage. We're encouraged by the continued progression of the opportunities in our pipeline, and are confident in our positioning to provide our LiDARs and perception software to the market. While we are in contact with a number of OEMs regarding additional programs, I'll speak today about several specific opportunities we are working towards. First, I'll highlight a potential new Level 3 program with a top-10 automotive OEM that we are particularly excited about. We were able to demonstrate InnovizTwo performance advantages and maturity to the potential customer, and are in the very late stages of the RFQ process with this meaningful OEM, reaching alignment on technical, production, commercial, and legal matters. I'm also happy to share that we recently passed their exhaustive production audits, a major box to check in the RFQ process. We are making solid progress, and they have indicated that they are nearly ready to make a nomination decision. We are looking forward to hearing their decision soon. Importantly, we are seeing a pickup in potential customer activity in the North America region in both Level 3 and Level 4. As such, we are in contact with several leading North American automotive OEMs regarding various RFIs and RFQs, including Level 3 and Level 4 programs. Across these OEMs, we've successfully completed LiDAR technical and commercial assessments, which allows us to display the advantages of our technology. As a result, we are now in various stages of sourcing processes. We expect to start hearing back from the OEM, with OEMs regarding the kickoff of these programs in the coming months. The opportunities I've just discussed are among the many in our diverse pipeline. We have a lot to look forward to, and the entire team is working how to convert this sorry. Yes, sorry. One second. Thank you. I have a sore throat. We have a lot to work and look forward to -- and the entire team is working hard to convert these opportunities into additional design wins. Sorry. Now turning to an overview of some exciting breakthroughs on the technological front, more and more, we're seeing our unique technology as a primary competitive advantage. We are as confident as ever that we are positioned to win many more customer programs, thanks to the value our outstanding technology offers to our clients. Innoviz is not the first or oldest LiDAR company, yet we've become a trailblazer in the industry since we were founded. Today, it seems from the feedback that we are receiving from our customers that our technology significantly outpaces the LiDAR market, and we believe that this gap will continue to widen. There are several reasons to support this claim. First and foremost, we have the track record and culture to push boundaries and never assume there is a limit to what we can do. If possible, it's not in our vocabulary. This has translated into tangible results, which I will touch on in the following slides. These include our new and improved InnovizTwo configuration, a unique IR imaging offering, unparalleled blockage resilience, and the first samples of the InnovizTwo short range LiDAR for Level 4 and on automotive applications. At Innoviz, we continuously advance our technology. We are always striving to push performance boundaries to enhance quality for our customers. In that spirit, we've again improved the InnovizTwo with a new and a more advanced configuration. Some key features include a new uniform resolution of 0.05 by 0.05 degrees across the field of view resulting in approximately 12 megapixels per second along with an improved range. We're proud to have upgraded our technology again and offer additional performance advantages contributing to a better driving experience. Another exciting development, which is now offered to our customers, is a new feature which allows capturing in LiDAR IR imaging that can capture scenes with use of a few kilometers very much like a camera. That will allow us to see not only point clouds, but actual clouds in the sky. With this technology, our LiDAR has unique ability to provide camera like image output that can be provided alongside our 3D point cloud data at the same resolution. This allows an improved low level fusion of both a 3D and a camera like image, which enables low level fusion perception stack that exceeds the capabilities of existing LiDAR perception solutions. As you can see in the video, this allows for an all-in-one LiDAR plus IR camera using the same hardware. This creates lower power usage and higher performance all at a lower cost to the customer. With all of these technological advances, we have delivered yet another key differentiator advantage, which is InnovizTwo resilience to various type of blockages, including mud, dust, water, stone chipping, and insects. This resilience mitigates the potential for compromised object detection and tracking and for autonomous driving disengagements. In the videos that you're seeing now, you will notice that the LiDAR window is heavily covered with mud, which normally would create blockages that translate into gaps or holes in the field of view in any standard LiDAR or camera. As you can see, no such holes are observed in the InnovizTwo point cloud or IR image, thanks to our technological solution to the blockage problem. This is a critical advantage, especially for Level 4 applications. Our product delivers continuous availability, allowing the vehicle to reliably detect obstacles, pedestrians, and changes in the driving environment, ultimately, minimizing the risk of collisions. This becomes crucial as we work with OEMs across different levels of autonomy, including working up to Level 4. Let me explain. Level 2 applications require full driver supervision, hence the reduced sensitivity to blockages. When working with Level 3 applications, the driver is allowed to take their eyes off the road. In Level 3, you need to have redundancy. But even then, the driver might be required to regain control of the vehicle within 10 seconds, if needed. A high quality, resilient LiDAR sensor contributes to a robust system that allows higher availability and creates a better autonomous driving experience by allowing the driver to relax for longer periods without interruptions. With Level 4, the technology needs to be several magnitudes better, because there is no driver to turn to. There is no 10 seconds grace period. Because of that, we've passed the point of talking about just range and resolution. We're talking about quality and availability. Our technology needs to be immune to blockages and adverse driving conditions that might arise on the road. The ability to operate seamlessly under these conditions is baked into the foundations of our technology, our designs, and our architectures. Last technical update for today is related to our offering of a short-range version of InnovizTwo. The short-range LiDARs can be implemented across Level 4 automotive and non-automotive applications. Its features include resilience to sunlight and adverse weather conditions, up to 100 meters of detection range, and up to 90 degrees vertical field of view, and embedded automotive cybersecurity. These are just several of the many features that contribute to the InnovizTwo short-range unique advantages. Following the development of this differentiated technology, we've seen increased interest in our short-range offering from customers, including interest in bundling this solution with our long-range LiDAR, such as presented in today's announcement. I'd now like to take a moment to highlight our effective cash performance, which is a tandem with our strong revenues, has led to sequentially decreased cash burn. We're seeing benefits from the cost actions we executed as part of the strategic realignment we announced in Q1. Last year, our organizational structure comprised separate hardware and software development units, supporting both the InnovizOne and InnovizTwo platforms. Meaning we had separate cost structures for each platform. We combined these units into one consolidated R&D department. And after moving InnovizOne into serious production, we are solely focused on the InnovizTwo platform. Notably, we are leveraging technological similarities between InnovizOne and InnovizTwo to further manage costs. For example, we've invested in developing a second-generation high quality ASIC chip, meaning we have no need for additional investments in that component in the coming year. The realignment that we did earlier this year enabled us to realize and benefit from these technological carryovers, optimize workflows and processes, and an organized structure. We are on track to achieve the originally projected financial benefits of the realignment. And as a result, we are now better positioned for rapid transformative growth with a larger number of customers. Importantly, we are further offsetting our spending by consistently achieving revenues above or in line with our guidance. Before I hand over the call to Eldar, I'll provide our revenue guidance for the full-year. We expect full-year revenues in the range of $23.5 million to $25 million compared to $20.9 million in full-year 2023. I'd like to call out that the lumpiness we are seeing in the revenues can be attributed to the cadence of NRE's channel fill and customer activity. Last quarter, we reiterated our confidence in achieving our operational targets of two to three additional programs from both existing and new customers, and $20 million to $70 million of new NRE bookings in 2024. I am pleased to share that we've already met our operational targets of adding two to three new programs in 2024. This was achieved through the addition of the two new OEMs in connection with the collaboration with the leading Level 4 platform partner, which is offering a solution together with Innoviz LiDAR to several programs. In addition, there are two additional programs that we started working on this year, which are pending finalization, finalizing the commercial and legal terms on top of these two OEMs. Given the developments with our customers and continuing strong performance in Q3, we also remain confident in achieving the $20 million to $70 million in NRE bookings and reiterate the target. Looking ahead to 2025, we expect acceleration to our revenue streams and build on our top line momentum as more customers adopt our technology. And with that, I'll turn the call over to Eldar to review our Q3 2024 financials.
Eldar Cegla: Thank you, Omer, and good morning, everyone. Starting with cash, we ended Q3 2024 with approximately $87.7 million in cash, cash equivalents, bank deposits, marketable securities, and short-term restricted cash on the balance sheet. Cash used in operations and capital expenditure came in at $17.7 million compared to $28.6 million in Q3 2023, and $21.6 million last quarter. We are continuing to drive sequentially decreased cash burn, resulting from our focus on Innovis 2 platform and our strong revenue performance. As Omer mentioned, we are realizing the benefits of our strategic realignment. Having reduced investments in InnovizOne development, our organization is leaner, more agile, and entirely focused on platform with InnovizTwo. I'm pleased to share that we are on track to achieve the expected saving from the realignment, reinforcing Innoviz history of financial execution. We are very proud of the trend of consistent improvement in cash burn that we have delivered over the course of the year. While there may be continued lumpiness on a sequential basis, on a fully year basis, we expect to see lower overall burn in full-year of 2024 than we saw in full-year of 2023. Looking into 2025 and beyond, we remain confident in our ability to manage our expenses effectively and keep our burn down on an annualized basis. Gross margin continue to improve quarter-over-quarter. Going forward, we expect margins will continue to be lumpy as we ramp up the InnovizTwo platform as unit volumes fluctuate and NRE revenues continue to vary from quarter-to-quarter. Now turning to the income statement, revenues for Q3 were $4.5 million compared to $3.5 million in Q3 of 2023, and in line with our guidance range of $3.5 million to $5 million. This represents another quarter in which we have delivered on the top line, extending our record of strong revenue execution. Our operating expenses for Q3 2024 were $26 million, a decrease of 6.4% from $27.8 million in Q3 2023. This quarter's operating expenses included $4.2 million of share based compensation compared to $5 million in Q3 2023. Research and development expenses for Q3 2024 were $19.7 million, a decrease from $20.7 million in Q3 2023. The quarters R&D expenses including $3 million of share based compensation compared to $3.1 million in Q3 2023. To conclude, the third quarter represents another quarter of solid performance from both revenue and cash perspective. We're encouraged by the ongoing strengths of our expense management and ability to consistently meet or exceed our revenue guidance. Looking into Q4, we expect a strong finish to the year in which we maintain lower burn while further ramping up InnovizTwo and working to secure additional design wins. With that, I'll turn the call back to Omer for a few closing remarks.
Omer Keilaf: Thank you, Eldar. Before I wrap up the call and open for Q&A, I wanted to remind you all in January, we'll be back at CES in Las Vegas, providing a closer look at our recent technological advances for the CES community and touching base with numerous customers and suppliers. I hope to see some of you there. In conclusion, Q3 was another strong quarter for Innoviz in terms of revenue performance, cost discipline, advancing customer relationships, and further developing our technology. We were happy to add two new OEMs through our partnership with the Liverpool platform partner, who we are collaborating with to bring our solutions to the market. We are excited to see the first test vehicles on the road already in 2025 and look forward to the expected launch in 2026. An increased number of OEMs customers supports our revenue growth in the short and long-term through NRE bookings, samples and production unit sales. Meanwhile, continuing to build the momentum of securing additional new OEMs. We see this collaboration as potentially very valuable as we expect to continue to grow the partnership with additional OEMs. We hope to share more information on this by the end of the year. Our work with Volkswagen continues without delay. We're meeting deadlines and delivering high quality products to the program. And we are optimistic about the opportunity to expand the relationship with this key customer. Across the board, we deepen our relationships with our customers and we believe that our next few wins are within reach. Our pipeline remains robust and we are working to further advance our RFIs and RFQs. Heading into next year, as we add additional programs, we expect to accelerate our revenue streams and reinforce our record of strong top-line performance. Our superior technology, balance sheet, and favorable external market factors give us confidence we can achieve our goal to become the leading tier one automotive lighter supplier. And with that, Operator, please open the call for Q&A.
Operator: Thank you. [Operator Instructions] Our first question today comes from the line of Andres Shephard of Cantor. Please go ahead.
Andres Sheppard: Hey, good morning good afternoon, everyone. Can you hear me okay?
Omer Keilaf: Yes.
Eldar Cegla: Yes, okay.
Andres Sheppard: Wonderful. Well, good to see you both. Congratulations on the quarter, and thanks for taking our questions. Omer, I want to maybe start, obviously exciting news on the recently announced Level 4 commercial agreements, I understand that you're not yet disclosing the client's names, but wondering if you could perhaps give us a bit more details on the agreement and maybe particularly what kind of volumes might you expect from these. Thank you.
Omer Keilaf: Yes, sure. So, the platform partner that we are working with currently has a customer base of around five customers, which are expected to deploy their vehicles in different regions between 2026 onwards. Our each program consists of volumes that are ranging between high tens of thousands of vehicles to small figures of hundreds of thousands of vehicles. Of course, multiply that by the number of LiDARs, which is nine LiDARs per vehicle. That generates quite a meaningful revenue per customer.
Andres Sheppard: Wonderful, super helpful. Maybe as a follow-up, regarding your 2024 revenue guidance that you provided, wondering if you could maybe give us a bit more granularity there, specifically how much of these revenues do you expect will come from NREs versus, say, product shipments or BMW, just any additional color there would be helpful. Thank you.
Omer Keilaf: Basically the fourth quarter is a mix between revenues generated by product sales to the BMW launched vehicles, and there are NRE components that are related to programs we announced during the year, such as the short range program we announced several months ago. Some of the Level 3 programs we're supporting with Volkswagen and the new programs that we are, that we just kicked off. In terms of kind of the mix, in terms of percentage, I'm not sure, if we want to --
Eldar Cegla: Most of the revenues are in our area at this point of time, and that sample shipments. Yes. And then, samples together with the BMW revenues.
Omer Keilaf: I mean, obviously, the fact that we're now shipping nine LiDARs per vehicle for this Level 4 platform and you understand where there are multiple customers, which each one of them is required to bring up a certain fleet. The multiples are expected to grow through that.
Andres Sheppard: Wonderful. And maybe if I could just squeeze one last one. Just on BMW, we didn't highlight it too much on the call today, but just what kind of volumes should we expect? Or is that going to be the primary source of revenue for next year? Just wondering if you can maybe give us an update on where that relationship stands and kind of how you see it, play out through 2025. Thank you.
Omer Keilaf: Sure. I mean, during the first year of launch of BMW, we do not expect high ramp. Next year, we are expecting additional volume coming from the launch of BMW in China. In terms of, volume, we cannot disclose obviously, BMW expectations. Our work with BMW continues also relates to future programs. There is an R&D program working between us for, kind of new development for new platforms.
Andres Sheppard: Great. Thank you so much. Congrats again on the quarter. I'll pass it on.
Omer Keilaf: Thank you very much.
Operator: [Operator Instructions] Our next question today comes from the line of Mark Delaney of Goldman Sachs. Please go ahead.
Mark Delaney: Yes. Good afternoon. Thanks very much for taking my questions. For the program with the top 10 OEM where you've passed the technical and production audit and are now in advanced legal discussions, can you talk about what needs to be done to work out those legal arrangements, and are there other LiDAR providers being considered to your knowledge? And then, if you do win this program, when would the SOP be? Do you think you'd be standard fit, and any sense of the volumes that went fully ramped for that program?
Eldar Cegla: Yes, okay. Obviously, there is a certain limit to what I can share, on this specific program. What I can say is that this is a customer that we were working with for quite a long time. My understanding is that we are competing versus another LiDAR or LiDAR player or LiDAR, say, traditional Tier 1. In terms of volume, it's a top 10 OEM. So, obviously, the expected volumes are quite meaningful. Mid-decade is probably the best I can offer in terms of SOP without disclosing a very specific year at this point. We're still trying to be on the right side of the customer.
Mark Delaney: Understood. Thank you for the color. You can share and hopefully that goes well for you guys. My other question was around the financial profile of the company. I mean, in particular, how you're thinking about the balance sheet and as you mentioned, you took down the cash burn. Do you think you can sustain those lower levels of cash use into next year? And what are applications for potential capital raising? Thank you.
Eldar Cegla: Yes. So, maybe before I answer that, so there was a question I actually skipped, and by mistake. You were asking about what's left to close in the dialogue. So, basically, there are actually only, like two legal points that we're kind of negotiating on and hoping that I believe we can close. So, it's not there's nothing, I think substantial. We understand that we met the technical requirements and commercial. So, we basically feel that we're in a very kind of final stage. On the financials of the company, so obviously, the new OEMs with the expected revenues that we are looking at for next year, adding to the NREs that we are expecting to lock by end of this year. Plus, as you understand, we look on the programs that we're competing on in a, I would say an optimistic view. We believe we'll be able to lengthen our financials, well into 2026, where we expect a very steep growth of revenue coming from different programs that are launching at that year.
Omer Keilaf: Maybe if I can add you, you can see in every aspect that we are doing better. We are doing better, obviously in the cash burn, but we're doing also on the top line. Year-over-year, we're doing better in the gross margins, which you see are closing to positive already. We are obviously controlling our expenses. I believe we have a very nice pipeline in front of us that can generate a lot of revenues and a lot of opportunities that can converge positively, hopefully. So, we have the confidence that we have what it takes.
Mark Delaney: Thank you. I'll pass it on.
Eldar Cegla: By the way, maybe I'll just add, other than that OEM, there are other OEMs we're competing. So, it's not a single opportunity on the table right now. We're only referring to the, I think two or three that were kind of some things that we're excited about. We're excited about other things as well. It's not a one shot kind of situation.
Operator: Thank you. Our next question comes from the line of Jash Patwa of J.P. Morgan. Please go ahead.
Jash Patwa: Hi, thanks for taking my questions, and congratulations on the two new program wins. How should we think about the NRE revenue opportunity preceding start of production in 2026 for the two new programs, with the LFO platform partner? And any early guardrails you could share for revenue and post profit trajectory into 2025? Thanks, and I have a follow-up.
Eldar Cegla: Sure. Obviously, NREs are preproduction, revenue generation. Once you reach SOP, meaningful portion of the revenues would come from sales of products. And before the production starts, revenue is based on NREs and sample sales. And as I said, we're now looking at the content per vehicle, which consists of nine LiDARs per vehicle, the multiples are quite significant, especially when talking about a platform that is going to be that was adopted already by a few customers. So, we believe that 2025 would be meaningful in that manner. What was the rest of it?
Jash Patwa: Just any early guides around 2025 from a revenue or gross profit standpoint?
Eldar Cegla: I think it's, we haven't yet finished the year before talking about guidance for next year. What we're seeing is, this year was primarily revenue generation was taken from programs we locked in 2023. This year, we're adding, we already have four more programs that we're supporting, additional to the ones that we had locked previously. And we expect to close more deals, in the short-term and of course, long-term. And this will create aggregation of new generation of revenues that will come on top. And at 2026, we expect several launches that will contribute to your significant growth in revenues. I think at this point, this is kind of, like, how I can offer at this time.
Jash Patwa: Got it. That's helpful color. And then, just maybe switching gears to from a technology standpoint, curious if you could elaborate on the in LiDAR infrared imaging feature. It seems like a very exciting opportunity. Wondering what you're hearing from OEMs on this feature, and does the inclusion of the infrared camera help in any way to bridge any performance gaps that might be there for LiDARs versus traditional cameras used in automotive?
Omer Keilaf: Gladly. And the ability to generate the camera within the same hardware of the LiDAR is very helpful in terms of synchronizing an image to a LiDAR. When you think about the platform, generally you have a camera which sits in a different location. And you need to apply many calibrations -- online calibrations and frame synchronization in order to allow a good, I would say, correlation between the data that is generated by the different sensors. That takes a lot of effort and many errors in this process. Being able to generate a perception software, which is LiDAR-based only, which can generate both a LiDAR image and an IR image, provides an unprecedented performance of perception which you cannot achieve by using a LiDAR alone. We talked in the past about having redundancy and separation of layers between camera, LiDAR, and radar. The fact that the LiDAR is able to provide both image and LiDAR allows you to do a low-level fusion by the LiDAR itself and using it as a very strong primary sensor that would definitely outperform the other sensors on the vehicle, which is only based on camera perception when you talk about the standalone perception layer for each of them. So, the LiDAR is going to be definitely a prominent, I would say, leading solution in the platform as we believed in the past, in terms of what it's capable to add to the capability. So, you could actually see lights from the scene. This is something that LiDARs generally cannot do. Meaning that you'll be able to see in some cases winks -- I would say trough kind of -- when you go right, winkers of the car. Winkers? Yes, sorry, when the car can signal. This is kind of an additional and stopping lights, braking lights of vehicles. These are features that are generally not available for LiDARs and are only provided by the camera and without redundancy. So, the fact that the LiDAR can potentially provide those values and these features is very helpful in order to do the low-level fusion between the camera and the LiDAR. Other than that, it is helpful in cases where you have a low confidence in the camera due to shadow casting, which you can confirm from the IR image taken from the LiDAR in terms of low-level fusion. And actually, there are really more features that I think overall will become very important to the customer. We already started to show it to a few customers that were very excited about it. So, yes, I definitely see high value through this new feature.
Jash Patwa: That's very interesting. Thanks for taking my questions and good luck.
Eldar Cegla: Thank you.
Omer Keilaf: Thank you.
Operator: We have no further questions. Please proceed.
Omer Keilaf: Okay. Thank you very much for joining our earnings call. We are always happy to be here and reflect to you the progress that we're making. I hope to share more in the coming months. Hoping to see you at CES and invite you to see the progress we're making. Thank you very much.